Operator: Good morning, ladies and gentlemen. Welcome to Vivo's Second Quarter 2025 Earnings Call. This conference is being recorded, and the replay will be available at the company's website at ri.telefonica.com.br. The presentation will also be available for download. This call is also available in Portuguese. [Operator Instructions] [Foreign Language] [Operator Instructions] Before proceeding, we would like to clarify that any statements that may be made during this conference call regarding the company's business prospects, operational and financial projections and goals are the beliefs and assumptions of Vivo's Executive Board and the current information available to the company. These statements may involve risks and uncertainties as they relate to future events and therefore depend on circumstances that may or may not occur. Investors should be aware of events related to the macroeconomic scenario, the industry and other factors that could cause results to differ materially from those expressed in the respective forward- looking statements. Present at this conference, we have Mr. Christian Gebara, CEO of the company; Mr. David Melcon, CFO and Investor Relations Officer; and Mr. Joao Pedro Soares Carneiro, IR Director. Now I will turn the conference over to Mr. Joao Pedro Soares Carneiro, Investor Relations Director of Vivo. Mr. Carneiro, you may begin your conference.
Joao Pedro Soares Carneiro: Good morning, everyone, and welcome to Vivo's Second Quarter 2025 Earnings Call. Today, our CEO, Christian Gebara, will walk us through Vivo's performance in connectivity and digital services along with the ESG highlights for the period. Then David Melcon, our CFO, will give more color on cost and CapEx efficiencies, free cash flow generation and shareholder remuneration. With that, let me pass the call over to Christian.
Christian Mauad Gebara: Thank you, Joao. Good morning, everyone, and thank you for joining our call. In the second quarter of 2025, Vivo achieved another period of robust operational and financial results, underscoring the effectiveness of our strategic initiatives and commitment to sustainable growth. In our mobile segment, Postpaid continues to set the pace, achieving 7% year-over-year growth and now comprising 67% of our total mobile customer base. On the fiber front, we expanded our connected homes by 12.6% compared to last year, reaching 7.4 million accesses. Total revenue rose 7.1% driven by high single-digit expansion in both mobile services and fixed revenues. This result highlights the strength of our diversified portfolio and ability to meet evolving customer needs. EBITDA grew an impressive 8.8% year-over-year with a margin of 40.5%, reflecting our disciplined cost management operational efficiency. By continuing to optimize our capital allocation and prioritizing high return investments, we generated BRL 7.3 billion in operating cash flow in the first half of 2025, up 12.5% year-over-year. So far in 2025, we have already paid BRL 5.2 billion to shareholders. Our strong free cash flow generation allow us to honor our shareholder remuneration commitments while we continue to deliver double-digit net income growth. Moving on to the next slide. We present how our evolving revenue mix continues to positively impact our top line. Our total revenue reached BRL 14.6 billion in the quarter, up a robust 7.2% year-over-year, significantly outpacing the inflation observed during the period. The main drivers behind the solid performance were postpaid and FTTH revenues that grew 10.9% and 10.4% year-over- year, respectively. Together, these 2 segments now account for over 72% of our service revenues, highlighting our strategic focus on high-value offerings and service convergence. We also saw positive momentum in new businesses that represented 11.2% of our total revenues over the last 12 months, that's a 1.7 percentage point increase year-over-year, reinforcing our transformation into a broader digital service hub. Next, on Slide 5, we examine the key drivers behind our strong performance in mobile. Vivo's mobile strategy continues to deliver solid results, hybrid plus per postpaid access grew 7.1% year-over-year to BRL 49 million. This growth is an example of our focus on value and customer experience. Currently, almost 1 in 4 of our mobile customers already experienced superior quality of 5G that's available in 596 cities across Brazil. This rapid adoption coupled with successful upselling efforts is driving ARPU upward, while churn remains very low. These metrics clearly reflect the strength of our customer-centric approach and our ability to lead in innovation and network quality. On Slide 6, we dive into the continued strength of our FTTH and its growing convergence with postpaid. FTTH remains a key growth engine for Vivo with access up 12.6% year-over-year. This rise is largely due to our flagship conversion plan, Vivo Total, which surged over 63% in the same period as we see a clear trend of customers migrating to this all-in-one solution. After successfully reaching our target of 29 million homes passed in 2024, we've kept the momentum going. Over the past year, we expanded our fiber footprint to more than 2 million additional homes passed. Net additions are also accelerating as we bought in 201,000 new fiber customers just last quarter. Also, we recently announced a significant move the acquisition of CDPQ stake in FiBrasil, while still pending approval from CADE and ANATEL. This transaction will consolidate the leadership in fiber and unlock significant synergies. Moving to the next slide, I invite you to take a look at how our B2C new businesses are gaining traction and become increasingly relevant to our revenue mix. Our 57.1 million individual customers generated over BRL 43 billion in revenues over the past 12 months. That translates to an average monthly spend of BRL 64 per customer, a figure that is continuously evolving. In our new business segment, revenues are up 14.7% year-over-year, now representing 3% of Vivo's Total's revenues. Let me highlight 2 standout initiatives that are driving this expansion. First, demand for music and video OTT subscriptions remains very strong with a remarkable 34.5% year-over-year increase. This reflects our ability to meet the growing appetite for digital content. Second, our Vivo Pay platform continues to expand its offering, it now includes a diverse range of insurance products and other credit alternatives, such as the anticipation of FGTS, PIX and installments, each tailored to meet the specific needs of our customers. These initiatives are not only boost monetization, but also strengthen our value proposition, improved customer retention, fully aligned with our strategy of making Vivo a one-stop shop for our customers. Turning to Vivo's B2B performance on Slide 8. We explain how this segment continues to outperform thanks to our comprehensive portfolio. This quarter, we recorded our strongest year-over-year growth of B2B revenues in the recent past, up 13.3% over the last 12 months. Digital B2B stood out within this segment growing 31.3% and now accounting for 8.2% of total revenues. Key contributors to this growth were cloud, IoT and messaging services. Combined with cybersecurity and other digital solutions, these offers not only strengthened our leadership in connectivity, but also raise the bar in portfolio diversification, giving us a solid competitive advantage. Heading to ESG. On the next slide, we share with you Vivo's main accomplishments this quarter. We continue to be recognized for our leadership in sustainability. Vivo was named Company of the Year in Exame magazine's best in ESG Awards and remains the only telco ranked among the top 100 in the Merco Responsibility, ESG Brazil. On the social front, our annual volunteer day mobilized 10,000 employees who positively impacted around 45,000 people. We also collected 27 tons of electronic waste up 17% compared to the last year, demonstrating our commitment to social and environmental responsibility. Our supply chain is well aligned with our ESG goals through our Parceiro Plural program, over 1,300 suppliers completed the self-assessment since the beginning of the program. This initiative has helped us to maintain our leadership status in CDP supplier engagement assessment on climate issues for the fifth year in a row. Last but not least, I invite you to explore more about our ESG journey in Vivo's 2024 integrated report. You can assess it by scanning our QR code in the bottom right corner of the slide or by visiting our Investor Relations website. With that, I turn the call over to David who will walk you through our financial results. Thank you.
David Melcon Sanchez-Friera: Thank you, Christian, and good morning, everyone. On Slide 10, we present the evolution of our cost structure. Vivo's cost of service and goods sold increased by 8.3% this quarter. This was mainly driven by a 15.7% rates in service costs, reflecting the strong growth in digital solutions, particularly in our B2B segment. On the other hand, the cost of goods sold declined by 2.3% as sales of handsets and consumer electronics suffered slightly. Cost of operations grew 4.9% remaining below inflation for the period. Personnel expenses rose 8.8% influenced by annual weight adjustments, benefits and higher headcount in fast-growing areas such as digital, IT and new businesses. Our largest cost line, commercial and infrastructure grew 3.5% year-over-year. While commercial activity picked up during the quarter, we were able to offset much of the increase through network and energy efficiency gains. Thanks to our disciplined cost management, we achieved a 60 basis point expansion in EBITDA margin reaching 40.5%. And notably, this was accomplished with minimal contribution from copper and real estate sales related to our migration to the authorization regime. That said, we remain confident in our ability to deliver BRL 4.5 billion in asset sales over the coming years. Moving to Slide 11, we demonstrate how effective CapEx control, coupled with solid EBITDA growth leads to a double-digit operating cash flow increase. CapEx optimization continues to stand out. In the first half this year, CapEx to revenue ratio declined 0.7 percentage points year-over-year to 14.8%. Important to mention that 76% of our investments were directed towards growth initiatives, mainly in 5G and fiber expansion. This focused strategy is accelerating monetization and delivering tangible future-proof results. Our operating cash flow after leases reached BRL 4.7 billion in the first half, marking a 15.5% increase year-over-year. Looking at the last 12 months, we have seen consistent margin expansions, both before and after leases. In fact, operating cash flow before leases now represent more than 1/4 of our total revenues. In the next slide, we show that our resilient operating performance translated into upscaling profitability. In the first half this year, Vivo delivered a 13.5% year-over-year rise in net income, reaching BRL 2.4 billion driven by solid operating executions and finance discipline. Our net cash flow position stood at BRL 3.9 billion at the end of June, underscoring the strength of our financial management and protecting us from high interest rate scenarios. Including the effects of IFRS 16, our net debt totaled BRL 10.7 billion with a low leverage ratio of 0.4x EBITDA over the last 12 months. On the right-hand side of the slide, you will see that our free cash flow generation remained robust, while it showed a slight year-over- year decrease due to some phasing effects, our fundamentals remain strong. Our free cash flow yield for the last 12 months remained close to 8%. And our free cash flow margin reached 17.6% year-to-date, reflecting our healthy financial position and cash generation. Finally, on the last slide of the presentation, we highlight our continued commitment to shareholder return. So far this year, we have already paid more than BRL 5 billion to shareholders reaffirming our commitment to distribute at least 100% of the net income. In addition to that, so far, we have declared another BRL 1.7 billion in interest on capital this year. In the second quarter, we have also completed the reverse stock split followed by a forward stock split operation. The sale of the fractional shares generate close to BRL 1 billion of which around 80% came from inactive shareholders. This move unlocked significant value with our average daily trading volumes increased 77% after the operation. Looking ahead, our share buyback program remains at full speed. We still have around BRL 1 billion available for repurchase through February 2026. This gives us confidence in our ability to meet our shareholders' remuneration guidance for the coming years. Thank you. And now we can move to the Q&A.
Operator: Thank you. We are going to start the question-and-answer section for investors and analysts. [Operator Instructions] Our first question comes from Bernardo Guttmann with XP.
Bernardo Guttmann: My first question is about leases. Despite the quarter-over-quarter growth the company seems to be working on several initiatives to optimize and slow down this line. What can we expect over the next few quarters? And my second question is about the Fibrasil integration. Following the acquisition of the remaining stake. Are there any near-term synergies you are already capturing? And what's your strategic view on M&A going forward?
Christian Mauad Gebara: Sorry. Hi, Bernardo, this is Christian. So I'll go to the second and then I ask David to go to the first one, okay, if you don't mind. So as you said, we announced the acquisition of 50% stake that was held now by CDPQ in FiBrasil. So now we hold 75.01% of the capital, while Telefonica Infra, the infrastructure company of the Telefonica Group retains the remaining 24.99%. So we still need to get it approved by ANATEL and CADE. So it's difficult for you now to say when you're going to start capturing the synergies. But what we see is that FiBrasil already built the network that was implied to build. So this 4.6 million home pass. So Vivo is almost the sole customer here. So we have like -- it's a neutral network, but in the end more than 95% of the clients are from Vivo. So we are mostly the unique relevant customer. So as you can imagine, we can operate this network with our own resources. So if you look at their numbers, the EBITDA that they had in 2024 of BRL 282 million. That's part of the capture that we envision for this integration. And to that, their penetration is around 16% home connected over home passed. We just ended the second quarter with approximately 24%, so there is also the opportunity to accelerate penetration and bringing more revenues in. So in the end, we see that it's a very synergic operation and also give us the flexibility to do what we just described, if you want to see more room for M&A in the future. As I said in many different occasions, we are always analyzing opportunities, we need to find an asset that has no -- or not so much overlap with our network. We also want someone that has the network that is technically the same standard that we have in ours or at least similar to that and the right pricing. As I said in the beginning, we ended the quarter with over 31 million home pass. Brazil, we may say over 30 million, sorry, home pass, 30.1. Brazil, has around 60 million homes that we could consider suitable for fiber connection provided by Vivo. So there is room to grow. We may not reach this number. We've been building around 2 million per year, but we see the opportunity to have more than 30. And then we can do that organically or we could do that for an M&A if you find an asset that comply with the criteria that I just described. If we don't have more in the second one, I'll pass to David to go to the lease one, Bernardo.
David Melcon Sanchez-Friera: Bernardo, thanks for the question. So regarding leases, we need to look for 2 different angles. One is accounting and the second one is payments. So the first one, accounting. If you look at the evolution of the depreciation and interest accruals, you would see that EBITDA after leases is even growing on a faster path than EBITDA, which shows all the initiatives that we're doing on that side. And to complement on the payments angle, you would see that there is some volatility, particularly at the beginning of last year and perhaps even at the end of 2023. However, now it seems to be more stable in terms of payment, which are mainly linked to all the renegotiations that are going on with the towers company over the last few quarters. But here, it's important to highlight that the total amount we paid last quarter is BRL 1.2 billion is the lowest number in the last 4 quarters, which shows that the results of all these initiatives. Looking forward, we have -- in one hand, we will need to continue working on the coverage of 5G. However, we already have 64% population cover. But in the other hand, we still have many initiatives to reduce the unitary cost of those towers. So we cannot give you a number for the future. But based on what we have done over the last 4 quarters proved that the initiative to have this cost under control, similar to what we have seen recently.
Operator: Our next question comes from Marcelo Santos with JPMorgan.
Marcelo Peev dos Santos: I have 2. The first question would be regarding the fiber-to-the-home ARPU. That's a line that I think last year was growing a bit more and that has been changing trends. So I just wanted to understand how much of this is like company strategy driven, maybe you're focusing more on bundles? Or how much of this is like market-driven market environment? That's the first question. And the second question, if you could discuss a bit the mobile competitive environment, what you're seeing now in the beginning of the second half? What's your perception going forward?
Christian Mauad Gebara: Marcelo, that's Christian. I will try to answer. Yes, I think most of the explanation of the upward performance is related to acceleration of the Vivo Total customer base. As I described out of our 7.4 million customers in FTTH, 2.9 already in Vivo Total is a growth in the Vivo Total customer base of 63.5%. And that has a very positive impact in the churn reduction, but ARPU is slightly diluted due to the discounts given to the convergent customers. So that's the main explanation for this ARPU evolution. So quarter-over-quarter, it is very small. The reduction, we're talking about 0.6%. But year-over-year, although we grew 63% in the customer base of Vivo Total, there is this ARPU impact of 2.1%. I think the very positive thing for that is the churn. If you look at the second quarter of 2022, we were at 1.93. Now the FTTH churn is 1.46, and that's a lot related to the Vivo Total, but I'll add to that, all the quality and other things that we've been doing to improve it. We had price adjustment in FTTH in January, 4.5% price adjustment of 14% of our FTTH customers. June, we also had a price up of 9.7% of 22% of our FTTH base and the Vivo Total we had a 2.9% price increase and 100% of our Vivo Total users. So that's the explanation that I have. The second one was regarding what competition in mobile, you asked or competition in general?
Marcelo Peev dos Santos: Mobile competition.
Christian Mauad Gebara: Yes. I think the market is similar to what we saw in the last quarter. There is, of course, a strong competition, the 3 players and other small ones also trying to capture markets. Our strategy stands in upselling data, digital services and totalization of customers that I just described with a very disciplined monetization. So focus on the quality, expansion of 5G, convergence with the expansion of fiber and also the sale of FTTH and also controlling churn. So churn is very good levels in both services, mobile and fixed. And the price adjustment that I described to you before were done in the front base and also in our customer base. So the front book, sorry, and in our customer base. So that's the reality that we face right now. And we've been growing, as I said, also in the beginning, in the postpaid revenues double digits. And prepaid, it's a negative. But if you compare it quarter-over-quarter, we have a positive trend in the prepaid revenues.
Operator: Our next question comes from Gustavo Farias with UBS.
Gustavo Farias: Hi, everyone. Gustavo Farias here from UBS. Two on my end. The first one, net income came a little bit below consensus, and we saw financial expenses as the main detractor and quarter-over-quarter as well as year-over-year. So if you could comment a little bit on that and how you see those lines going forward for the full year '25? And the second question on OpEx. We also saw G&A and personnel expenses a little bit above inflation. If you could comment on that going forward as well, as well as drivers for margin to continue expanding.
David Melcon Sanchez-Friera: Thank you for the questions. So starting with the first one around financial expenses. Look, the finance expenses in the quarter are mainly impacted when you compare year-over-year, but some seasonality effect. So last year, we had a positive one-off of BRL 330 million linked to a reversal of a provision resulting from a tax amnesty in the state of São Paulo. When comparing with the previous quarter, we are almost in line. What really perhaps is driving this slightly growth, one have to do mainly with the FISTEL liability that, obviously, now we have 1 more year accrual that we need to book all the monetary accruals and also, we have some positives and negatives. So the positive that we have this quarter, but we also have some contingencies in the other hand. So as you can see, too, we have around every -- almost every quarter, we have some ups and downs. What you can see at the end of the day, thinking more about the net income, the net income is growing 10% year-over-year. But even if you look to the earnings per share, it's more than that. It's growing 12%. What could you be thinking for the next quarter? I will highlight 2 main aspects. One has to do with the depreciation. The depreciation this quarter is growing 8% year-over-year but this is mainly as a result of the review of the useful lives that we did last year in the third quarter. That means that this year 2025 in the third quarter, this effect will be normalized. So the depreciation in the third quarter, we are expecting that we'll be almost in line in terms of previous year. So this will help us in terms of the year-on-year evolution. And also bear in mind that in July next year 2026, we will finalize depreciation of all the legacy have to do with copper. So this, again, will be a benefit of around BRL 300 million per quarter in terms of results before taxes. Now so again, I think net income has been one of our key attributes and this should continue going forward. Regarding the second question, in OpEx.
Christian Mauad Gebara: I can help with the second one if you don't have anything else. In the second, I think -- I would think -- I would first Gustavo highlight that our EBITDA grew 8.8% year-over-year with a margin of 40.5%. Going directly to the cost from operations that was your question about personnel and G&A. Cost from operation, we had an evolution of 4.9% year-over-year. And here, it's the explanation mostly driven by personnel, as you said, 8.8%. Here, the explanation is mainly due to annual readjustment that we have in salary and benefits. And also, we increased head count in some key areas for our present and future digital IT and new businesses areas. If you look to commercial infrastructure, the evolution was 3.5%, well below inflation. Here is that we had a lot of increased commercial activity but was offset by the gains that we had, both in network and energy efficiencies but also in the digitalization of most of our processes and interaction with customers. In G&A, the 7.5% was due to higher costs with third-party administrative services that were related to the speed of the split that we had in the quarter before. I think also important to highlight here that we declared the BRL 4.5 billion that we will capture in corporate and real estate that very little capture in this quarter. So our number for asset sales in the second quarter 2025 was only BRL 5 million. When you compare to the second quarter 2024, this figure was BRL 31 million. So we are very confident of our cost discipline and our ability to continue to grow EBITDA. David?
David Melcon Sanchez-Friera: Just one comment, Gustavo on that one. The net income in the coming quarter will also benefit from what Christian is saying. We haven't almost sell those real estate and copper this quarter, but we are expecting a boost in the coming years but also in the coming quarters. So this will be an upside.
Christian Mauad Gebara: For not only the OpEx reduction, but also the net income improvement.
Operator: Our next question comes from Vitor Tomita with Goldman Sachs. He just left the -- he joined back. Vitor, you are allowed to talk.
Vitor Tomita: So 2 from our side as well. The first one is related to that point that you just mentioned. You cited that the 5 million asset sales this quarter were already related to the concession migration. Could you give an update more on the operational side on how the initiative to migrate concession users, remove copper cables and dismal them from copper for copper is advancing currently? Also, my second question would be on B2B. If you could give a bit more color on how the acquired operations from IPNET and Vita IT, are integrated into the general operation? How they have been operating alongside the other Vivo teams and on how those operations have been performing in terms of growth?
Christian Mauad Gebara: Look, Vitor, this is Christian. And David can help me. We -- even before the migration, we were able to sell real estate and copper. So that was my answer before was to explain that we announced the BRL 4.5 billion that's BRL 3 billion in copper and BRL 1.5 billion in real estate. We haven't started in a very accelerated way as we will in the next quarter, as David said, and mainly in 2026 and 2027. So the impact on the OpEx reduction is still not taken this quarter, and this quarter is even lower than what we had in the past before the migration, where we got authorization from sell for the sale of some real estate. And also we could already be doing migrations in areas where we could be replacing copper to fiber when the customers agree to that. Now we have the ability to have this migration enforced because we have the right to migrate when we are able to offer a similar service as the case of offering fiber. So the idea here is only to say that it's going to be accelerated. The numbers continue to be the ones that we described before, BRL 3 billion positive cash effect in the net of extraction costs. So that's going to be for the copper. And BRL 1.5 billion proceeds from the sale of assets, net of the net mobilization costs before income tax. So this remains the same and you'll see more of this effect in the next quarters, especially '26, '27. Considering the IPNET and Vita was much before IPNET is fully integrated, giving great results. The team is 100% integrated and been contributing a lot for our network sale and other service they are responsible for. IPNET is the same, already contributing. In the second quarter, IPNET, we still have it like separate because they are focused on Google Solutions. So they contributed of over BRL 65 million in our second quarter, '25 results. It's in B2B, but it's also in the fixed business, total revenue that you see in that we just presented. So they are fully integrated with the impedance that they need to have to keep their portfolio alive, they have customer base alive but also leveraging all the synergies and the contact that we have with many other customers that is helping accelerate their business, both Vita and also IPNET as well as the other one that we bought in B2C, the desire to go for consumer electronic accessories. I don't know David if there is anything else or Vitor, if I answered both your questions.
Operator: Our next question comes from Phani Kanumuri with HSBC.
Phani Kumar Varma Kanumuri: So I have a couple. Could you comment on the net adds that you have in mobile? They seem to have been a bit more weaker than you have historically done. So what are the steps being taken to improve the net adds in mobile? The second one is regarding your FiBrasil and the fiber strategy. So in the comments, you said that you have 60 million homes passed that you have potential for. But how do you see competition? And what is the addressable market? Do you think you could reach the 60 million over the long term. And do you have plans to do what you have done with FiBrasil, which is bringing outside capital for deploying fiber going forward.
Christian Mauad Gebara: So Phani, going to the first one. I think the evolution is very in line what we had before. It's like as I said before, our strategy is very focused on the migration from prepaid to hybrid. This can be some variation quarter-over-quarter. But more importantly is the convergence that we are like keeping customers more loyal selling mobile with fiber and also selling mobile with digital services. We're also increasing the 5G percent take-up, if you see what we had in the second quarter, the 5G take-up in our customer base was 13.3, is already close to 24%. And our churn is around the 1% level. So pretty good evolution and ARPU is above like 5.1% if you compare the second quarter of '24 with second quarter of '25. So it's a very healthy and disciplined strategy. And I think we are capturing the value out of it because our mobile service revenue in postpaid increased 11% year-over-year, so pretty good. And if you'll add postpaid to fiber, it's already 73.4% of our total service revenue of the company and year-over-year of these 2 services combined is 10.8%. In fiber, as we said, the idea is to continue to grow organically. We don't envision right now having any other financial partner to accelerate. I think it was needed at the time that we want to accelerate and to reach what we already declared more than 30 million that we already reached this quarter, 30.1 million. And I told before that I see opportunity in more like millions of homes. It doesn't mean that we're going to reach all of them, but there is room to continue to grow. We could do that organically or we could also analyze M&A. That's the idea that we have going forward.
Operator: Our next question comes from Pablo Ricalde with Itaú.
Pablo Ricalde Martinez: I have 2 questions as well. The first one is on the competitive landscape you are seeing, especially if you think you will be able to push a new round of pricing for the second half of the year. And the other one is on the slide, you mentioned about like the one-stop vendor solution. I don't know if you can provide more details on the strategy that you are planning to increase the percentage of cross-selling.
Christian Mauad Gebara: Can you repeat the second one, the strategy of what, sorry, Pablo.
Pablo Ricalde Martinez: To increase the penetration of the cross-selling.
Christian Mauad Gebara: In B2C and B2B? In both?
Pablo Ricalde Martinez: Both.
Christian Mauad Gebara: Okay. So going to the second one. Yes, we foresee that we're increasing as we described before, the percentage of these new services is 1.7 percentage points higher in the representation of the total revenue mix. You went from 9.5% to 11.2%. If I look at in separate, we can see that in the B2C, the growth was 14.8%. We are growing different verticals and also, we have started to show you like the B2C revenue divided by RGU by unique users. So we also went from BRL 60.6 to BRL 63.7. We gave some numbers about the number of customers with our health plan, Vale Saúde that is around 500,000. We gave a number of OTT subscriptions at 3.7. Considering our customer base of more than 100 million access in mobile. There is a lot still to be sold. So there is a great effort to monetize our customer base and we're using our app that has 28 million unique users as the best and like most like a profitable channel to upsell. So again, upselling starts with migrating prepaid to hybrid, but also to them drive convergence and of course, after that, digital services. Another example is insurance. We have 600,000 smartphones insured by Vivo but we increased a lot the number of customers that and -- that leave our store with the insurance with a new smartphone. It's now around 35%. It used to be below 20%. So we see many different areas where we imagine the possibility to increase penetration of our services. In B2B is the same. The number is much more relevant. We are talking about revenues in the last 12 months of BRL 4.8 billion. It's a growth of 31.3% year-over-year. It already represents 8.2% of total revenues. And again, here, we see still low penetration. We have 1.6 million customers. We have the best B2B channel reaching from the small to the largest companies of the country, but only 15% of them have a digital service acquired through Vivo. So we see a huge opportunity, especially in the mid- to low sized companies to sell much more digital services. Regarding the mobile, I described what the increase that we have in our customer base. We still have in hybrid around 1/4 of our customer base to have the annual increase. And we still have also a small piece of our postpaid to have also their annual increase in August. So these are the 2 groups that we have price increase planned according to the annual adjustment that we have due to inflation.
Operator: Thank you. The question-and-answer section is over. We would like to hand the floor back to Mr. Christian Gebara for the company's final remarks.
Christian Mauad Gebara: So thank you, everyone, again, for participating in our call. It's one of the best quarters that we had in the last period. It's very strong in all lines, well above inflation, bringing more profitability but also optimizing our CapEx allocation. We also still have a lot to be captured with the sale of copper and real estate as I described in one of the questions. So we are very positive about the trend that we have in the next quarters to continue with our strategy of selling more servers to our strong customer base, acquiring more customers and more importantly, keeping their loyalty, reducing churn in a very positive way as we're doing in fiber and also in postpaid. So if you have any more additional questions, please reach us for our IR team or directly to us, okay? So thank you again, and see you soon.
Operator: Vivo's conference is now closed. We thank you for your participation and wish you a nice day.